Operator: Welcome to MakeMyTrip's Fiscal 2014 Third Quarter Earnings Call. The company wishes to remind you that certain statements made on this call are considered forward-looking statements within the meaning of the Safe Harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of future performance and by their nature are subject to inherent uncertainties. Actual results may differ materially. Any forward-looking information relayed on this call speaks only as of this date, and the company undertakes no obligation to update the information to reflect changed circumstances. Additional information concerning these statements is contained in the Risk Factors and Forward-Looking Statements section of the company's annual report on Form 20-F filed with the SEC on June 13, 2013. Copies of this filing are available from the SEC or from the company's Investor Relations department. And now, I would like to introduce the speakers from MakeMyTrip, Deep Kalra, Rajesh Magow and Mohit Kabra. Please go ahead.
Deep Kalra: Thank you, and welcome everyone to our fiscal 2014 third quarter earnings call. I'm pleased to share that MakeMyTrip continued its market share gains, as we led in India's online hotel and holidays business during the reported tight travel quarter. I'm also happy to report a strong quarter performance despite difficult market conditions. Our revenue less service costs grew to $28.5 million, representing a 42.1% year-on-year growth in constant currency terms. As of December 31, over 36% of our total net revenue came from the H&P business segment on a 9-month year-to-date basis. With rising internet usage, driven by rapidly growing smartphone and 3G penetration, we believe MakeMyTrip is well poised to accelerate the growth in the H&P business. Additionally, we maintained our market share in the domestic Air Ticketing business, which reached 12.4% in the month of December, despite high airfares during the peak travel season. In Q3, MakeMyTrip continued to lead the online travel market, with 9.4 million monthly unique visitors coming to our site, as measured by comScore, which was more than double that of our closest online competitors. We are also excited to see the rapid shift towards mobile, as 1 in 5 visitors accessed MakeMyTrip.com via our mobile platform. In fact, our mobile app downloads have crossed 2.4 million thus far. During the quarter, we saw Jet Airways and Etihad Airways close their equity partnership, while AirAsia India announced its intention to begin domestic flight operations by India's summer season. The Singapore Air and Tata Group joint venture also announced it will begin domestic flight operations post the summer season. Additionally, SpiceJet, a low cost carrier in India, announced a partnership with Singapore's low cost carrier, Tigerair, to expand its reach into Southeast Asia. More recently, promotional sales were also offered by the domestic carriers for advanced purchase during the ongoing seasonally lean travel quarter, which we believe will help stimulate flying demand. Similarly, we are excited about the prospect of more hotels coming to market, as domestic and international hotel chains conform their plans to build more properties across India. Marriott has started -- has stated, that they plan on opening a 100 new properties by 2017. Likewise, IHG has partnered with a local developer to bring more Holiday Inns into the country over the next 4 to 7 years. A recent report from STR Global has estimated roughly 360 new hotels in the pipeline for India. In this report, they expect the upscale segment to have most number of rooms in the pipeline, and also expect a mid-to-budget tiered hotel to represent a significant share as well. In addition, we currently receive strong growth potential for leisure travel to and from India, as regional air connectivity is expected to improve over time. We also recognize the growth potential for leisure travel, not just to and from India and [indiscernible] destinations, but also travel within these regional destinations themselves. As a result, we've been investing to strengthen our supply capabilities in Southeast Asian and Middle Eastern countries. Our HotelTravel.com acquisition in Thailand is in line with our efforts to address this growth potential. Going forward, we will continue to pursue organic and inorganic growth, based around the fast growing outbound business strategy. The team at MakeMyTrip is highly encouraged by these long-term tailwinds that will provide growth opportunities for our business. At the same time, we remain dedicated to improving our customers' delight, which we believe will allow us to sustainably maintain our leading market positioning. I'd like to now hand the call over to Rajesh, to give more color on our quarter's accomplishments.
Rajesh Magow: Thanks, Deep, and hello everyone. I would like to begin by highlighting our strong business performance during the highest travel season quarter, even as we face high domestic airfares and the impact of weak currency in certain segments of travel. Our revenue-led service costs grew 42.1%, year-on-year on constant currency terms. With our continued strategic focus, we are also pleased to report 50.6% growth in our H&P business, which has helped shift our net revenue mix to over 40% coming from non-air segments. Our success is the result of continuous effort to improve every part of the business, both operationally and from a customer focus standpoint. We enhanced our contracting processes to obtain better deals that allowed us to deliver better value to customers across multiple channels, including last-minute options on mobile and flights plus hotel. We also instituted a multi-variant demand and supply forecasting tool, which allowed us to contract better with air and ground suppliers in order to more precisely meet customer's needs. Apart from the 11,000-plus Indian hotel properties that we already offer on MakeMyTrip.com, with our HotelTravel.com effort, we've been able to expand our online bookable supply by over 144,000 international hotel properties in outbound leisure destinations, particularly in Southeast Asia. During the peak holiday quarter, we leveraged our 500-plus home-based sale[indiscernible] , known as MakeMyTrip Holiday [indiscernible] to cost-effectively expand our reach and drive holidays growth for those customers who still prefer to book offline. As part of our enhancing our customer reach, we have also started regionally customizing our ads, brochures and itineraries to better align with local and vernacular preferences. During the peak travel quarter, our holidays theme delighted some of our customers by surprising them with birthday cakes, unexpected anniversary celebrations, Diwali gifts, and group or family photos. In addition, our continuous focus on improving customer experience has resulted into Net Promoter Score improvement. However, despite all our successes during the quarter, we have witnessed the effects of a weak currency on our outbound holidays business, which usually carries a much higher average conversion value, and is therefore more price sensitive. Let me now move on to discuss our air business, where as Deep mentioned, we maintained an industry-leading domestic air market share of 12.4% in the month of December. In Q3, we logged very strong net revenue growth of 38.3% year-on-year despite a very high airfare environment, which slowed the overall growth for discretionary domestic air travel. Given the demand situation, we technically focused on optimizing margins during a period of higher average transaction value and driving growth in the international flights business, a segment that is still primarily booked offline in India. In the quarter, we also integrated several new airlines onto our booking platform to broaden customer choice, including domestic regional carrier Air Costa, Malaysia's Malindo Air, and Singapore's Tiger Airways. We also improved the content on our website to further drive online adoption of international air bookings. For example, we now provide information on cancellation policies, baggage rules, and visa requirements to help alleviate customer's concerns of overseas travel. Now, let me share the progress we are making on our mobile strategy. Whereas already mentioned, we have achieved more than 2.4 million app downloads, across all major mobile operating platforms. Recently, we added international flights on our apps. With this latest services -- latest rollout, our customers are now able to book domestic and international flights, domestic and international hotels, and domestic bus tickets through our apps. We are witnessing a rapid adoption of mobile usage, as approximately 1/4 of our domestic flights and hotel shoppers are accessing MakeMyTrip via mobile. We also note that about 10% of our online domestic flights and nearly 20% of our online domestic hotels sales were booked via mobile. We are pleased with our mobile business so far and our team continues to innovate to deliver users an even more engaging and more personalized experience with relevant content, delivered seamlessly across multiple devices. Now, let me hand the call over to Mohit, to share our quarter results in detail.
Mohit Kabra: Thanks, Rajesh. During the peak travel quarter of Q3, the MakeMyTrip team delivered a robust 42% year-on-year growth in revenue-related service costs in constant currency which also helped the business return to profitability at an adjusted operating profit level. Despite operating in a slow-growing economy and in an unpredictable air market, our financial performance in the fiscal third quarter was better than we had anticipated, at the reported revenue less service costs of $28.5 million. Let me now elaborate on the financial performance in our various business segments. Revenue less service costs from our Air Ticketing business grew by 38.3% year-on-year in constant currency terms. This growth was delayed by our focus on driving international Air Ticketing business to move online, while managing overall air business for revenue growth. As a result of this focus, as well as prevailing high air fares in the domestic air market, the average transaction value in the Air Ticketing business was higher by about 15% year-on-year in constant currency terms. Our air net revenue margin also improved marginally from -- to 7.3% from 7% in the previous quarter of the current fiscal year. While our transactions were lower on a year-on-year basis during the reported quarter due to high air fares, we were able to test in our market share in the domestic air market. We are also encouraged by the surge in transactions seen during the recently announced promotional fares last week, which reinforces our belief that there is good demand for domestic air travel, and fares that are affordable. Now, I'd like to present financial highlights from our Hotels and Packages business, which continues to be our team's primary strategic focus. Our revenues less service costs in the Hotels and Packages business grew to $11 million, which was 50.6% year-on-year growth in constant currency, largely driven by overall year-on-year transaction growth of 35%, and a 156 basis point improvement in net revenue margin from the same period in the previous fiscal year. Our margin in the H&P business improved from about 11.1% to about 12.6% on a year-on-year basis, and was largely in line with the margins that view [ph] in the preceding quarter of this fiscal year. The strong growth in domestic holiday packages, plus continued growth in our hotel business, aided by increased bookings of international hotels, has helped offset the softer growth in our Outbound Holiday Packages business, which was negatively impacted by the short [indiscernible] vacation during this fiscal year. With net revenues of about $1 million, our other businesses grew by 25.7% in constant currency terms, driven by growth of travel insurance and bus ticketing. For the fiscal third quarter, we are pleased to also report an administered operating profit of nearly $1.4 million. We achieved this profit level as a result of strong revenue growth, coupled with benefits from our cost rationalization sales. As you had stated during the last quarter, we continue to invest behind our strategic initiatives by delivering a strong balance sheet and leading competitive positioning within the domestic OTA market. These will largely be directed towards strengthening the mobile offerings, strategic marketing and technology spends across our businesses. Moving on to the outlook for the current fiscal year, from April '12 to March '13, we remain watchful of the persistent volatility in the rupee to dollar exchange rate, and the often changing domestic airfare environment. Of all the achieved results in the fiscal fourth quarter of 2014, give us confidence to improve our annual constant currency growth guidance to 24% to 25% of revenue less service costs as $99 million to $100 million over the current full fiscal year, as an estimated exchange rate of INR 60.39 to $1. With that, we would like to open the call for Q&A. Operator, please?
Operator: [Operator Instructions] And your first question comes from Lloyd Walmsley.
Lloyd Walmsley - Deutsche Bank AG, Research Division: Couple of questions. First, just on the H&P segment, it looked like transaction growth decelerated a bunch -- and I think that's probably just lapping the first-quarter, lapping the HotelTravel and ITC acquisitions. And then on the flip side, bookings per transaction x FX looked like a nice gain. And then, take rates kind of climbed up nicely, can you talk about those dynamics in the quarter? And then how you see those going forward? That's the first question. And then, secondly, more kind of thematically, wondering if you guys see mobile as kind of a leapfrogging opportunity where Indian internet penetration can effectively accelerate via mobile and help you guys on the booking front? It sounds like you're getting nice bookings from mobile already. But wondering your thoughts there?
Rajesh Magow: Yes, sure, Lloyd. Let me take the first one, and let Deep take the second one. So your observation is right for the quarter. Our H&P transactions growth is a little muted than expected. Like I mentioned in the script, one of the travel segments that kind of got impacted from demand, looks like it was outbound travel, due to the rupee depreciation, especially the long haul. And, that had some impact on the overall transaction growth for the H&P. However, that segment actually continued to grow, especially domestic hotels, and as well as domestic holidays if you will. So, there is -- if there was any less than expected kind of growth on transaction was only from the outbound travel segment. As far as margin is concerned, we've had now good run-on margin. Our H&P margin year-on-year has improved significantly. It is in the range that we've been talking about, so we've done quite well out there on the margin. And we'll continue to probably do even compared to, as we go long and as we grow our volume. So, we're not necessarily overtly concerned about this little lower than expected transaction growth on the H&P side. As the overall max of condition improves a little better as we go along, we will see transaction growth coming back. We've seen that kind of trend even on the air side, although the reason on the air side is more the higher fares as well. So what ends up as high fares on the domestic side, the leisure segment does tend to get ahead more than the business segment. And I guess, that was the overall reason for the quarter -- in the quarter, for the little lower than expected transaction growth on H&P.
Lloyd Walmsley - Deutsche Bank AG, Research Division: And then just...
Deep Kalra: I'll take part 2 -- sorry.
Lloyd Walmsley - Deutsche Bank AG, Research Division: I'm sorry, just sticking on that subject, I guess, if you could just comment on. It looked like x FX, bookings per transactions actually increased. What was behind that, and I guess just thinking forward, how should we think about these different drivers going forward in terms of transaction growth versus bookings per transaction growth?
Rajesh Magow: You mean the booking value?
Lloyd Walmsley - Deutsche Bank AG, Research Division: Yes.
Rajesh Magow: Yes, so when you look at year-on-year, so this is definitely a high season quarter and a high transaction value quarter because of the seasonality, Lloyd. But if you look at year-on-year, there is, if you look at last year same quarter, it was 380 versus 373 right now, overall. So, there is no real increase. The quarter-on-quarter increase, and that's because of the seasonality and longer duration of the holidays in the travel season quarter. And that's the reason behind that. But we haven't really seen any other different or significant trends change on the transaction value. Like I said earlier, on the overall transaction growth, I think we should see that coming back in the coming quarters, with the mobile growth happening. And Deep will share more details about that. We have seen new bookings happening -- coming through the mobile channels. About 25% to % 30% on the total hotel bookings that are happening on mobile platform, coming in from actually new customers who have never transacted online. So that's a very encouraging sign. So we definitely see that marketing -- that market opening up, especially the last-minute hotel deals. And as always, we are booking through the mobile channel and we are very encouraged to see that trend happening. And as far as the overall long-term holidays is concerned, or long haul sectors are concerned, we will have to, I guess, see a little rupee -- a little -- more stability on the rupee side, and in terms of overall market growing, historically different, has been fairly robust. But as we see a little bit more stability on the exchange rate, now we will see transaction growth coming back on H&P.
Deep Kalra: Lloyd, coming to the mobile question, and just on the hotel side, I think your comment on the lapping effect is also -- has some impact for sure. I guess like we pointed out the first quarter where we've actually seen that. For mobile, I think you are right in saying that this is an interesting leapfrog opportunity for us. Because if you look at the overall market, currently about, the estimate, by IMRB, which is India's leading research firm, says about 205 million people are online or are on the internet, and interestingly about 100 million of them are actually mobile only. So, this has definitely moved much faster, and we were speaking to Google, which commands 97% share on the search market, and they were sharing with us, that what they're seeing is that, that stuff is not really growing. And all the new growth is actually coming from mobile. As Rajesh pointed out, what's very interesting is, we are seeing this trend and that a lot of these users are not necessarily existing desktop users or erstwhile desktop users they're new users, new customers altogether. So we think this opened up a whole new market. A lot of folks getting into their first jobs, and paying for their first travel on their own, perhaps not going to the desktop at all, neither they don't have a desktop at home. At office, they may or may not be able to use it for personal needs, but they all have smartphones. So the growth in smartphone and 3G in the country is really the big driver, and then 4G going forward. But currently, it's being driven by smartphone shipments, which are actually increasing every month. And, this is a distinct opportunity for India to actually catch up on what has been a very slow broadband growth, as you know. On our platform, just to share, like I mentioned in the call, about 20% of our traffic is now coming through mobile. And interestingly, we found the business segments have already seen a very high percentage of transactions coming through mobile stores. Domestic hotels for example, is in the high teens already, in terms of transactions, air is around the low teens. So, there's -- some of the lines of business are moving very fast from a transaction point of view. Despite the obvious difficulties that one would face in terms of a smaller form factor, in terms of payments being a little more funky et cetera, but I think people are willing to overcome that, just given the convenience and anywhere, anytime kind of proposition of mobile user.
Operator: And your next question comes from Manish Hemrajani.
Manish Hemrajani - Oppenheimer & Co. Inc., Research Division: Air was strong again this quarter, better than what we had expected. Can you dig a little bit deeper into the air market for the rest of 2014 and beyond? And how do you see passenger volume growth panning out, and supply side dynamics shifting in the air market? And if you could add some timelines around those airline events that are expected to occur in 2014? That would be helpful as well.
Rajesh Magow: Yes, sure, Manish. So, we clearly had a great quarter on the air business as you would have noticed on -- as far as revenue growth is concerned. In terms of volumes of the transaction growth, the segment that has been growing where there was a lot more head room and continues to be there and in the coming quarters will see growth continue on that segment is actually at India International Air because last quarter, international air is still booked offline. So, the online penetration of the international air bookings is much lower than what it is for the domestic air. And that segment is handsomely growing from -- and the driver is more, not necessarily the overall market growing as I mentioned earlier.
Manish Hemrajani - Oppenheimer & Co. Inc., Research Division: Should it be back up or main feed? Hello? [Technical Difficulty]
Rajesh Magow: Because of the convenience in choice and transparency that we offer on the Internet. So that piece is growing very well. Domestic market, however, hasn't really been growing. It's just been up and down, small income, you will see there is single digit -- lower-single-digit kind of growth on an overall industry basis. So, there's some positive signs of growth kind of coming back, but I'm not sure, it's kind of -- some kind of a sustained trend that is emerging out there. And that is directly linked to the high fare situation. I mean, for example in this quarter that we devoted out, the fares were all-time high once again, like about 20%, 25% year-on-year. And that definitely has some impact on the leisure travel, and therefore, it kind of impacts the overall domestic air transaction growth as well. And the -- what we don't see -- fortunately, did not see in this quarter getting impacted was our domestic holidays. So, it seems like, there are -- people are kind of been going with the alternative choices of transport if the air fares are very high. So that, as far as this quarter goes, it's been the -- I guess some insight into that. But going forward, in terms of positive news that is coming out from the sector, is about AirAsia. We are all kind of waiting for their launch. What we are hearing right now is [indiscernible]. As we hear from the airlines, and not necessarily from [ph] timelines, before it is also functional for, simply final approval that they are waiting for, that they probably will start their operations in the coming -- come off in maybe around April, May. But we would know only definitely, than they have actually filed the [indiscernible] within 45, 50 days before the launch. So we don't really have any more visibility beyond that. And, as well as Tata Singapore operations is concerned, the theme [ph] has been operational again, I think there is buildup and putting together all the team, and the general operations. And obviously, there's always work in progress, do not really have any clear visibility on when would they actually go live. I think the first one to go out probably would be AirAsia, and followed by Tata. And, so that's where, I guess is the itinerary at this point in time. So a couple of quarters down the line is when they actually launch, and that is going to improve because I see and that will have definitely some impact on the trend as we are hoping and that will definitely have a direct impact on the demand. So, I guess we'll have to wait and watch in terms of some kind of a sustained trend emerging, as sort of demand on air traffic is concerned. We did see, like just to kind of further back the comment that I just made on the high fares, [indiscernible] will, that was led by a price jerk and everybody else will kind of follow IndiGo and GoAir, and even Jet Airways and Air India. We did see transactions kind of coming back with handsome growth. And, clearly, this is definitely on track that there is demand at the right price. And this time around, it is more than fully resourced, this time around it was more 30 days, 60 days out, advance fares that were discounted. And that's the way to do an efficient revenue management. So if they continue to keep doing these kind of moves and the -- when the capacity comes back, with the AirAsia launch, and then followed by Tata, I think that is when we would be in position to say with a lot of certainty that there will be a robust trend of demand coming back.
Manish Hemrajani - Oppenheimer & Co. Inc., Research Division: Okay, got it. You also bought some inventory there this quarter, higher than typical levels. What kind of gross margins do you see on the prebooked inventory, and is this something that you intend to do going forward, especially in peak travel seasons?
Mohit Kabra: So Manish, in terms of the inventory that you see during the quarter. We're typically trying to do a little bit of prebuying, our inventory, during the peak travel quarter for the key destinations. So this is more like seasonal, is then kind of [indiscernible] during times of peak travel quarter for key destinations. But, otherwise it was really [indiscernible]. And in terms of overall take rates, margins, these are largely in line with the overall margins reported for the holidays business, not too different for the packages offered on the inventory months.
Manish Hemrajani - Oppenheimer & Co. Inc., Research Division: Coming to your guidance and despite strong results in the December quarter, your guidance calls for a much deeper than typical sequential decline in the March quarter. Especially given strong demand domestically in India driven by air fare discounting, also laid by the airlines. Are you being conservative here, or is there something that you're seeing out there in the March quarter, which causes your guidance to be where it is?
Rajesh Magow: No, Manish. I won't say that we are being conservative. I think this is our best estimate, that's how we should read it, given that the market -- as the air market especially is very unpredictable. And [indiscernible] just about 3 days. What I was mentioning was that those 3 days you would see sudden flight in the demand, but then that's obviously not enough for the rest of the quarter because kind of then gets impacted, because 30 days out, and 60 days out, then you will have to see what would be the impact at that point in time, 30 days out of the air bookings, during those days, which has been already booked in advance. So, we instead have factored in all of those aspects and come up with our best estimate at this point in time. Given the overall macro, it's not necessarily very upbeat at this point in time. We just wanted to make sure that we factor all of that into before we go out and offer our guidance.
Mohit Kabra: [indiscernible] thanks to the familiar look of the travel quarter, and therefore, that's kind of being factored in as well.
Operator: And your next question comes from Chad Bartley.
Chad Bartley - Pacific Crest Securities, Inc., Research Division: Two questions from me. First on air and ticket pricing. It seems that the gross booking per air transaction should fall slightly fiscal year '14. I know visibility is, is maybe difficult, but should we expect to see a steeper decline in air ticket pricing in fiscal 2015? And then I'll hold my question on hotels.
Rajesh Magow: It's kind of linked with [indiscernible] AirAsia launch, I would've thought, because more capacity coming in as I was mentioning earlier. More capacity coming in, more competition coming in the market and their model is low-cost model, and we will have to see their broad pricing strategy. But we do think that when they come in, there is going to be definitely some rationalization on fares, and that's what we are all hoping for because that definitely kind of spikes the demand. And it's good for the industry. But from a timing point of view, our best estimate at this point in time, this is what we're hearing from the airlines is that they probably would be in position to launch only in April or May. I guess, we will have to wait and watch, but I would not expect any serious discounting happening before that. Except, if there is like 3-day sale that happened just a few days ago, that we don't know because that's normally decided like absolutely at the 11th hour. So, we would not know about that. But, typically, we haven't really seen these kind of events happening more than once in a quarter.
Chad Bartley - Pacific Crest Securities, Inc., Research Division: Okay, great. And then, you talked about this a little bit, but I just wanted to be clear on your expectations. So, you talked about H&P being poised for acceleration going forward. Is that transaction growth, is that H&P net revenue growth, and what's the kind of timeline? When would we see that?
Rajesh Magow: So when we were talking about it earlier, I was referring to more transaction growth. The overall margin has been -- this story will continue. I mean we continue to see that we will improve our margin year-on-year, on a full-year as they say is the -- a 0.5% to 0.7% kind of a range. Within the quarters, within the year, there could be different moments. But, that's how -- and that could be because of various things, sometimes seasonality, sometimes special deals in a particular quarter, sometimes tactical moves, et cetera. We definitely do see, even now, which is in line with what we've been talking about in the past. On a full year basis, we do see H&P margin improving, just maybe 1/2 percentage point. It will probably hit 15%. So, that's the kind of outlook on margin, on H&P, but we do hope that transaction growth, to some extent, should come back as well.
Operator: There are no further questions at this time. [Operator Instructions] Thank you, ladies and gentlemen. That does conclude your conference call for today. You may now disconnect, and have a great day.
Deep Kalra: Thank you.